Operator: Good morning, and welcome to CenterPoint Energy's Fourth Quarter and Full-Year 2018 Earnings Conference Call with senior management. [Operator Instructions]. I will now turn the call over to David Mordy, Director of Investor Relations. Mr. Mordy?
David Mordy: Thank you, Dennis. Good morning, everyone. Welcome to our fourth quarter and full-year 2018 earnings conference call. Scott Prochazka, President and CEO; and Bill Rogers, Executive Vice President and CFO, will discuss our 2018 results and provide highlights on other key areas. Also with us this morning are several members of management who will be available during the Q&A portion of our call. In conjunction with our call, we will be using slides, which can be found under the Investors section on our website, centerpointenergy.com. For a reconciliation of the non-GAAP measures used in providing earnings guidance in today's call, please refer to our earnings news release and our slides. They have been posted on our website, as has our Form 10-K. Please note that we may announce material information using SEC filings, news releases, public conference calls, webcasts and posts to the Investors section of our website. In the future, we will continue to use these channels to communicate important information and encourage you to review the information on our website. Today, management will discuss certain topics that will contain projections and forward-looking information that are based on management's beliefs, assumptions and information currently available to management. These forward-looking statements are subject to risks or uncertainties. Actual results could differ materially based upon factors, including weather variations, regulatory actions, economic conditions in growth, commodity prices, changes in our service territories and other risk factors noted in our SEC filings. We will also discuss guidance for 2019 and 2020. The 2019 guidance basis EPS range excludes the following impacts associated with the Vectren merger: Integration and transaction related fees and expenses, including severance and other costs to achieve anticipated cost savings as a result of the merger; merger financing impacts in January prior to the completion of the merger due to the issuance of debt and equity securities to fund the merger that resulted in higher net interest expense and higher common stock share count. Both the 2019 and 2020 guidance ranges consider operations performance to date at assumptions for certain significant variables that may impact earnings such as customer growth, approximately 2% for electric operations and 1% for natural gas distribution; and usage including normal weather, throughput, commodity prices, recovery of capital investment through rate cases and other rate filings, effective tax rates, financing activities and related interest rates, and regulatory and judicial proceedings, as well as the volume of work contracted in our Infrastructure Services business. The range is also considered anticipated cost savings as a result of the merger and the estimated costs and timing of technology integration projects. The 2019 guidance range assumes Enable Midstream Partners 2019's guidance range for a net income attributable to common units of $435 million to $505 million provided on Enable's fourth quarter earnings conference call on February 19, 2019. The 2020 guidance range utilizes a range of CenterPoint Energy scenarios for Enable's 2020 net income attributable to common. In providing this guidance, CenterPoint Energy uses a non-GAAP measure of adjusted diluted earnings per share that does not consider other potential impacts such as changes in accounting standards or unusual items. Including those from Enable, earnings or losses from the change in the value of the ZENS securities and the related stocks or the timing effects of mark-to-market accounting in the company's Energy Services business, which along with certain excluded impacts associated with the merger, could have up a material impact on GAAP reported results for the applicable guidance period. CenterPoint Energy is unable to present quantitative reconciliation of forward-looking adjusted diluted earnings per share because changes in the value of ZENS and related securities and mark-to-market gains or losses resulting from the company's Energy Services business are not estimable, as they are highly variable and difficult to predict due to various factors outside of management's control. During today's call and in the accompanying slides, we will refer to Public Law No. 115-97, initially introduced as the Tax Cuts and Jobs Act, as TCJA or simply tax reform. In the slides accompanying this call, information covering 2018 and prior years refers to premerger CenterPoint only. We are not including pro forma information. Information covering 2019 and beyond incorporates the impact of the merger. However, please note that in Slide 11, we have included 2018 year-end rate base, which shows the combined rate base for Vectren and CenterPoint. Before Scott begins, I would like to mention that this call is being recorded. Information on how to access the replay can be found on our website.  I'd now like to turn the call over to Scott.
Scott Prochazka: Thank you, David, and good morning, ladies and gentlemen. Thank you for joining us today, and thank you for your interest in CenterPoint Energy. I will begin on Slide 5. 2018 was a strong year for CenterPoint. This morning, we reported 2018 diluted earnings per share of $0.74. On a guidance basis, excluding the impacts associated with the merger, we finished the year at $1.60 per share versus 2017 guidance basis earnings excluding impacts of tax reform of $1.37 per share, an increase of nearly 17%. $1.60 per share means we achieved the top end of our guidance range we set in February of last year.  Our strong performance in 2018 can be primarily attributed to growth in our core businesses and midstream investments performance. Turning to Slide 6. As I mentioned, we are pleased to achieve the high end of our earnings range. We invested nearly $1.6 billion of capital in our regulated utilities. We successfully implemented our regulatory strategies in multiple states, resulting in incremental annual revenues of $110 million, exclusive of tax reform impacts. Our Board of Directors increased the dividend that was declared in December by approximately 4%, marking the fifth year in a row of providing such increases. We entered into a definitive merger agreement to acquire Vectren Corporation, engaged in integration planning, and raised capital for the transaction that we closed earlier this month. We also executed an internal spend of our midstream assets resulting in better credit ratings for CERC. On to Slide 7. The communities we serve continue to grow, as evidenced in part by the addition of more than 77,000 customers in 2018. We completed major infrastructure projects like the Brazos Valley Connection in Houston Electric and substantially completed cast-iron pipe replacements across our natural gas distribution systems. Energy Services continued to grow its volumes and margin, resulting in strong operating income growth excluding mark-to-market impacts. We also continue to support our industry peers as we sent mutual assistance crews to Florida, California and Puerto Rico to help various recovery efforts. It was a busy 2018, and I am proud of how our employees worked collectively to achieve our goals. We have a busy 2019 planned, as you can see on Slide 8. We anticipate the Public Utility Commission of Texas will provide a ruling on the Bailey to Jones Creek Project later this year, and we expect to file a general rate case for Houston Electric on or before April 30. We anticipate 2 orders from the Indiana Utility Regulatory Commission later this year. One is for approval of a 50-megawatt solar facility, the other is for the 800- to 900-megawatt combined cycle gas turbine generation facility that will replace aging coal generation in Indiana. We believe both of these facilities are vital in providing clean, reliable and affordable electric for Southern Indiana. On the natural gas regulatory front, we expect the final order from the Public Utilities Commission of Ohio on the Ohio general rate case. We also intend to file a general rate case in Minnesota later this year. That rate case, which utilizes a forward-looking test year and interim rates, will run its course primarily in 2020. Turning to Slide 9. Electric operations will continue to invest significant capital to ensure our system can meet growth requirements and is a safe, resilient and reliable. Our most recent 5-year plan include $6.8 billion of capital investment in electric operations. This 5-year capital plan now includes the updated estimate for the Bailey to Jones Creek Project that will serve the growing needs of the petrochemical industry in the Freeport Texas area, and the plan is aligned with the anticipated capital increases we shared during our third quarter 2018 earnings call. The plan also includes the 50 megawatts of solar generation and costs associated with the new combined cycle gas power plant in Indiana. Moving to natural gas distribution on Slide 10. The $5.3 billion, 5-year capital plan targets investment around safety, growth, reliability and infrastructure replacement. We continue to modernize our system via our pipe replacement programs in all of our jurisdictions. We've also spent capital to support ongoing growth in our service territories, and we expect continued spend on innovative technology that improves our system operations and customer interface functionality. Turning to Slide 11. You can see our projected year-end rate base growth. Our capital plan is expected to translate to a compound annual rate based growth rate of approximately 8.2% through 2023. This growth in rate base is a key driver for our overall earnings performance.  We also have solid growth projections for our non-utility businesses. We believe Energy Services, Infrastructure Services, and Energy Systems group will provide valuable complementary services to each other's customers and to our core utility businesses. I was very pleased with Enable's 2018 performance as they increased natural gas gathered volumes, natural gas processed volumes, as well as crude oil and condensate gathered volumes. We're excited for Enable to continue this momentum into 2019. Moving to Slide 12. Our 2019 guidance basis EPS range is $1.60 to $1.70. This guidance range includes anticipated merger-related cost savings and excludes the one-time impacts of integration and transaction-related fees and expenses. This number also excludes merger financing impacts in January, prior to the completion of the merger. Our 2020 guidance basis EPS range of $1.75 to $1.90 includes anticipated cost savings achieved by that point. We are also providing a compound annual growth rate target of 5% to 7% through 2023 based off of 2018 actual guidance basis EPS of $1.60, excluding the impacts of the merger. Utility operations rate base growth is anticipated to be the primary driver of our long-term EPS growth. Bill will discuss additional drivers for 2019 and 2020 guidance later in the call. Slide 13 provides a history and forecast view of our guidance ranges. We have worked hard to consistently grow earnings since 2015, often hitting the upper end of our guidance. Anchored by strong utility investments, I believe CenterPoint is well-positioned to continue solid earnings growth. I will wrap up with Slide 14. I want to express my sincere thanks to those who served on the integration planning teams, and give equal thanks to their colleagues throughout the company who picked up some additional responsibilities to ensure that critical projects and normal business functions remain on track. Due to the talent and commitment exhibited by our employees, we are in a strong position to meet our objectives. We continue to focus on a comprehensive safety strategy which targets employee, system, contractor, customer and public safety. Our use of technology supports continued operational improvement that drives efficiency and helps to meet changing customer expectations. Many of these achievements have led to industry awards. We are proud to be recognized for emergency assistance, customer satisfaction, and innovative solutions. We believe a continued focus on our strategy of operate, serve, and grow will lead to the realization of our long-term earnings growth objectives. As most of you know, Bill announced late last year that he plan to retire towards the end of Q1 following the close of our merger. Therefore, since this is Bill's last earnings call with CenterPoint, I'd like to thank Bill for the contributions he's made to our success over the past 4 years. And Bill, we wish you well as you transition to this next phase of life. I'll turn it over to you.
William Rogers: Thank you, Scott. It has been a privilege to serve you, your management team, our customers, communities, and investors. And it has been a privilege to lead our finance and accounting efforts at CenterPoint. I will start with year-over-year operating income walks for our electric distribution and natural gas distribution segments, followed by utility operations and consolidated EPS loss. Then I will cover drivers behind our earnings forecast. Finally, I will conclude with an outline of how we will present our businesses going forward as a result of the merger. Beginning with Houston Electric, transmission and distribution's operating income walk on Slide 16. Revenue decreased $79 million as a result of tax reform. When reviewing net income, this revenue impact is offset by lower federal income tax expense. Rate changes translated into a $105 million of favorable revenue variance for the year, and customer growth provided another $31 million positive revenue variance. O&M had an unfavorable variance of $79 million due to normal increases and to some concentrated work on resilience and technology projects. We expect O&M growth in future years to moderate so it more closely matches the rate of inflation. Equity return related to the true-up of transition charges increased $32 million. Lastly, depreciation and taxes accounted for a $17 million unfavorable variance. Excluding equity return and the impacts of tax reform, Houston Electric's transmission distribution's operating income increased by $54 million year-over-year. This represents a 10% improvement over 2017. Turning to Slide 17. Natural gas distribution operating income for 2018 was $266 million versus $348 million last year. Revenue decreased $47 million as a result of tax reform. This was offset by lower income tax expense. Operating income included a $46 million positive variance from rate relief and a $10 million benefit from customer growth. On a year-on-year basis, O&M was higher by $71 million. This is large creases in support services, contracts and services, labor and benefit costs, and other operation and maintenance expenses. A portion of the increase is due to accelerated records integrity work. As with Houston Electric, we anticipate holding O&M closer to the rate of inflation in future years. Lastly, depreciation and taxes increased by $19 million. When we make the comparison of gas distribution on a year-to-year basis, we eliminate one nonrecurring item and one timing item. The nonrecurring item is a $16 million benefit in 2017 associated with the rate order that directed us to capitalize certain retirement benefits that were previously expensed. The timing adjustment is a $10 million of lower revenues in 2018 due to the timing of recovery for weather normalization. Adjusting for these 2 items and the tax reform impacts of $47 million, gas distribution's operating income declined by $9 million to $266 million in 2018. We anticipate natural gas distribution's 2019 operating income will increase over 2018. Energy Services 2018 operating income, excluding mark-to-market adjustments, was $63 million versus operating income and $47 million in 2017. Energy Services benefited from a full -- first full year of operations post integration of acquisitions completed in 2016 and 2017. Energy Services also achieved record throughput in excess of 1.3 trillion cubic feet in 2018. This represents approximately 5% of end-user demand in the United States. For 2019, we anticipate this business will increase its operating income. Our year-over-year utility operations earnings per share walk on a guidance basis is on Slide 18. The guidance walk excludes all expenses and capital costs associated with the acquisition of and merger with Vectren, which were $0.24 of EPS. We started with $0.99 for 2017 and add $0.05 for the change in core operating income, inclusive of utility performance and Energy Services but excluding equity return. Higher interest expense reduced EPS by $0.02. Equity return provided a $0.05 improvement and other items provided $0.02. Other items includes the benefit from a lower federal income tax rate. This brings us to $1.09 of utility operations EPS on a guidance basis. Excluding the tax benefit, the year-on-year growth in utility operations EPS was 9%. Our consolidated guidance EPS comparison is on Slide 19, starting with $1.37 for 2017 and ending with $1.60 for 2018. In short, we are up $0.10 year-over-year for utility operations. Midstream investments had a $0.13 improvement, $0.09 of which are attributable to tax reform. Excluding tax reform, midstream investments EPS contribution increased 8% year-to-year. Turning to Slide 20. We show some of the EPS considerations for 2019. The 2019 guidance range is $1.60 to $1.70 and excludes merger financing costs in January and certain expenses associated with the integration of Vectren and CenterPoint. I will note the impact of several activities which were not likely to occur in 2019. For example, our anticipated filing of the Houston Electric rate case means we will not file DCRF and do not anticipate filing TCOS in 2019. In 2018, these filings provided approximately $87 million in combined annual revenue increases relative to 2017. Therefore, we expect to have much greater regulatory lag for these investments made on behalf of our customers. Once the rate case is complete, and revenues are in effect, the updated rates will reflect transmission and distribution investments made in 2018. In addition to these impacts, we expect lower equity return from our transition bonds in 2019 relative to 2018. Pretax equity return related to transition and storm restoration bonds is expected to decrease by $31 million, from $74 million to $43 million. For more information on the schedule, please turn to Page 35 in the appendix. We anticipate the effective tax rate for 2019 will be approximately 22%, excluding EDIT or excess deferred income tax amortization, which has a corresponding offset in operating income. Finally, we will be adjusting our cadence of timing on the filing of the general rate case in Minnesota. We expect to file in the fourth quarter versus recent filings in the third quarter. This will delay interim rates and revenue by several months. While we are quite pleased with Enable's performance, we recognize the midpoint of their forecasted net income range in 2019 is lower than their 2018 net income. In order to assist you with this segment's net income contribution, on Slide 21, we provide pertinent data, including Enable's net income forecast, our ownership percentage, the anticipated basis difference accretion adjustments and the anticipated interest expense and marginal tax rate for this segment. Turning to Slide 22. Our 2020 guidance range of $1.75 to $1.90 reflects the completion of the Houston General Electric rate case and our ability to file TCOS and DCRF mechanisms in 2020. It also reflects interim rates in Minnesota, the completion of the Ohio general rate case, and a full year of earnings from legacy Vectren entities. Notably, it also includes $75 million to $100 million of pretax O&M cost savings. These anticipated savings are primarily corporate overhead and operating synergies, and will be allocated to both utility and nonutility businesses. Since we closed the merger on February 1, we have taken actions to capture the majority of these savings. Over time, much of these savings will benefit our customers. Further, the synergy forecast excludes costs to achieve. We considered each of these factors when developing our guidance range. On Slide 23, we show the business segments from an SEC reporting perspective and how we have grouped those segments in our investor slide deck in recent years. Slide 24 shows how we intend to report our SEC segments going forward, and how we will organize and report these segments to the investment community. We will group our electric segments into electric operations, and all of our related utility segments into utility operations. We will then report out the remaining 4 segments in our earnings walk. In December, we announced a $0.2875 per share quarterly dividend. This represents an approximate 4% increase over the previous quarterly dividend, consistent with our approximately 4% increases in each of the last 5 years. This also marks the 14th executive year we have increased our dividend. I will now turn the call back over to David.
David Mordy: Thank you, Bill. We will now open the call to questions. In the interest of time, I will ask you to limit yourself to one question and a follow-up. Dennis?
Operator: [Operator Instructions]. And your first question is from the line of Ali Agha with SunTrust.
Ali Agha: Bill, wishing you all the best for the future as well.
William Rogers: Thank you.
Ali Agha: My first question, just to clarify the '19 guidance. Are you resuming any merger synergies in '19?
Scott Prochazka: Yes, we do assume merger synergies in '19 as well as, obviously, we have cause to achieve those. But we -- to answer your question specifically, we do assume the synergies are in there.
Ali Agha: So of the $75 million to $100 million, how much should we assume will be in '19?
Scott Prochazka: We have taken action to get after a fair amount of that. We haven't disclosed the actual amount for 2019. But we have already gone forward with the reductions in workforce, which is a significant component of that.
Ali Agha: Okay. And my second question. As you map out the 5% to 7% growth '18 through '23, are you assuming that Enable stays within the portfolio over that 5 years? And for the nonutility businesses, are you generally assuming a growth rate that's also in line with 5% to 7%? Or is it higher or lower? Can you just provide a little more clarity on those?
Scott Prochazka: So Ali, we are assuming that we remain invested in Enable. I will say that we are not assuming that Enable performs at the terms of growth at the same level that our utilities will. We've taken a more conservative view of that. To your question about the growth of our utilities, the growth of our utilities will be a slight reduction off of the growth in rate base over that period due to regulatory lag.
Ali Agha: I see. But just to be clear, the other Vectren nonutility operations, are they going in line with the overall growth, or they're also growing less or more?
Scott Prochazka: I'm sorry, I misunderstood your question. As far as the competitive segments, we do assume that they're growing but not at the rate of our utilities.
Operator: Your next question is from the line of Julien Dumoulin-Smith with Bank of America.
Julien Dumoulin-Smith: So just wanted to follow up on the 5% to 7%. I know you guys discussed that in the initial slide deck after the Vectren transaction. Can you give us a little bit more of a sense of what's changed, and if there's any kind of apples and oranges sense versus what's out there implied in the 2020 number? Think cost to achieve for instance, but anything else, right? Obviously, some of the synergy numbers may have changed, but versus the April deck versus today on '20.
Scott Prochazka: Well Julien, I think of the 2020 view that we provided, I think, is very much in line with what we had shared before. As you know, we've tightened up the range versus what we were looking at before as we understand more the pieces. As far as the growth rate, this is the first time we've provided kind of growth up for that five year period, and it's really driven by the visibility around the growth in our utilities.
Julien Dumoulin-Smith: Got it. But when it comes to cost to achieve, that's been -- that's comparable treatment last time versus this go around?
Scott Prochazka: Yes, that is absolutely correct.
Julien Dumoulin-Smith: Got it. And then just quickly, if you can clarify this, what kind of balancing metrics are you seeing in the '20 timeframe associated with that 5% to 7% at that point in time?
Scott Prochazka: Bill, you want to comment on it?
William Rogers: On the balance sheet, Julien, as we've shared before?
Julien Dumoulin-Smith: Like FFO to debt in '20.
William Rogers: Yes. FFO-to-debt is in -- we target 13% to 16%, and we are comfortably in that range, and therefore, as we've said in the past, we don't foresee any need to raise equity in either 2019 or 2020.
Operator: Your next question is from the line of Michael Weinstein with Credit Suisse.
Michael Weinstein: So just to clarify on Julien's question, the cost to achieve in 2020, what is that? What are you expecting there?
Scott Prochazka: So we've not provided what that number looks like. What we have said though is within the forecasted range of our EPS for that year, we have included a range of possibilities. The reason we haven't provided, we just don't have visibility. We have much more visibility at this point to what the synergies or the cost efficiencies will be. In terms of the primary contributors towards cost to achieve at that point. It will be systems related, and we are just going through the exercise now of refining what that looks like. So we have a range in our minds. We weren't prepared to provide it, but those numbers are going to be primarily system-related costs, and they're inclusive in the earnings range we gave.
Michael Weinstein: I think he was specifically trying to get at, were you including cost to achieve in the prior range that was higher...
Scott Prochazka: We were, yes. Yes, we were.
Michael Weinstein: Okay. And apologize, but one more question. The 5% to 7%, that is the standalone guidance. So the current 5% to 7% is now a merger -- a merged proforma guidance, which is unchanged. So is there -- what synergies are you assuming in this new 5% to 7%? What are the offsets to that -- to those synergies that are keeping the 5% to 7% flat at the same level?
Scott Prochazka: Yes. So we had assumed a 5% to 7% growth rate for a -- and discussed a shorter window for it. We've now made the window longer with the visibility around the merged business. We are still in the range, but to your point, following the merger, believe we have moved upward in the range or that we have strengthened our potential performance within that range, but we are still in that range.
Operator: Your next question is from the line of Insoo Kim with Goldman Sachs.
Insoo Kim: I don't know if I missed this a little bit before, but were you saying that you don't anticipate any sale of units of the Enable at least through the next few years in your guidance?
William Rogers: Insoo, what we've said is that we don't anticipate issuing equity in 2019 or 2020. We have also stated that we will look for opportunities over the forecast horizon to sell some Enable units in order to fund our capital investment.
Insoo Kim: Understood. And then not to beat a dead horse, but going back to the 2020 slide from last April to the guidance you gave this time, I appreciate you'd mentioned that the cost to achieve metric was included in both slide decks, and the resulting range is about $0.05 below what you presented in April. Can I assume -- if the utility is still growing at a healthy rate, are the moving pieces -- the other moving pieces in terms of the costs that you've done, maybe have been updated since what you originally thought, in addition to maybe the additional equity that you ended up, raising. Where those the moving pieces that had an impact on the midpoint?
Scott Prochazka: Yes. So Insoo, I appreciate your question here. This maybe another calls we're really getting at. If you look at the new range versus the old range, the most significant driver for the decrease on the upper end would be changes around the midstream segment. The forecast provided earlier were at a time when commodity prices were different than they were today. So as we thought about the range of opportunities, that included a larger range of commodity -- or a larger commodity range as it would impact the Enable performance. So by reviewing today's commodity environment and taking a little bit more conservative look given the commodity prices, that's been the primary driver of the reduction of the upper range. We've also, since that time, updated our capital spending for the five year period and have been able to refine a little bit the timing around some of the recovery. But the majority of the impact is related with Enable.
Operator: Your next question is from the line of Aga Zmigrodzka with UBS.
Aga Zmigrodzka: Could you please discuss what could drive your earnings closer to the higher versus lower end of your 2020 EPS outlook range?
William Rogers: Aga, this is Bill. Scott, shared one line in the last question, just putting it another way, within the 5% to 7%, the largest unknown is the contribution of earnings from the midstream segment. So what could drive us to the higher end would be a strengthening in commodity prices environment, translating to greater volumes in our midstream segment and, therefore, earnings contribution.
Aga Zmigrodzka: So as a follow-up to that, do you expect Enable's net income in 2020 to be flat versus 2019 in your like middle of the range, or do you expect a decline? Any sense you could give around that?
William Rogers: We have only provided what Enable has provided in their earnings call, and that's their 2019 guidance. We do take a look at their forecast and take a view against that with respect to commodity prices, but we are not going to forecast Enable's net income or other finance metrics beyond 2019.
Operator: Your next question is from the line of Jonathan Arnold with Deutsche Bank.
Jonathan Arnold: Congratulations, and thank you, Bill.
William Rogers: Thank you.
Jonathan Arnold: A question on -- just as we look at the back to that original guidance slide. You have the 50 to 100 range on commercial opportunities and cost savings, and now, it's $75 million to $100 million on O&M savings. Have you effectively sort of taken out whatever you're receiving on commercial opportunities? Or is that still part of it that's just not called out? Just curious if you could bridge those numbers a bit for us.
Scott Prochazka: Sure, Jonathan. Thank you for the question because it's a good point. Since we're talking about 2020, our disclosure reflects the fact that we believe the majority of the synergies in 2020 are going to be cost-related or O&M related. We still have expectations that there will be commercial synergies. We just believe they're going to develop more fully in the years following 2020.
Jonathan Arnold: So if I could just probe on that a little bit more, of the 50 to 100, you originally listed commercial opportunities first, suggesting that might have been the bigger piece of it. So is there -- have the cost savings actually increased although the range for the combined is the same, and if so, how much?
Scott Prochazka: Yes. I would say that the way we intended to represent the 50 to 100 was that the primary of that would be efficiencies or cost savings, and that there would be some component that was revenue synergy or commercial synergies. Those numbers were an estimate early on. And as we've gotten further into this and we realize that timing, I think we've got more clarity around the cost side of things, which gives us confidence in how we talk about it in 2020, and we have expectations for the commercial side, but we now know the development of that will primarily occur after 2020.
Jonathan Arnold: Great, okay. And then just -- I may have missed this. I apologize if you have to repeat it. But could you give us an update on the process and the timing for replacing Bill?
Scott Prochazka: That activity is underway as we speak. We do not have a replacement announced, but we're actively working that process. And I hate to give timelines when we're in environments like this, but let's just say it's being actively worked, and we hope to have his replacement on in the near future.
Jonathan Arnold: Are you looking inside, outside, or both?
Scott Prochazka: We are looking outside for his replacement.
Operator: Your next question is from the line of Christopher Turnure with JPMorgan.
Christopher Turnure: Congratulations again, Bill. A lot of questions have been asked already, but I wanted to just kind of maybe summarized what your message is here and how it's changed. Is it fair to say that outside of Enable, and perhaps a little bit of timing differential with incremental lag and maybe '19 and '20 at the utilities at Houton Electric, the overall plan is pretty much the same, it's not kind of enhanced and a little bit better than it was before?
Scott Prochazka: I think that's a fair representation. We're excited by the plan. We have, as you've seen, we have a robust capital deployment plan for these service territories, and we're excited about it. So I think that's a safe summary.
Christopher Turnure: Okay. You mentioned in response to an earlier question that the, I guess, net income growth of the utilities would be slightly lower than the 8% rate base CAGR. In that vein, is there any reason to believe that lag would remain wide after you hit your stride after the Houston Electric rate case across the whole utility footprint? Will you basically be able to earn your authorized ROE?
Scott Prochazka: I think there will be some accelerated or maybe some enhanced lag in '19 for the reasons that we talked about or Bill talked about. But I think on an ongoing basis, given all the jurisdictions and the various rate mechanisms and the need for occasional rate proceedings, there will always be some element of lag such that our earnings growth will kind of consistently lag behind the 8% rate base growth. But it continues to be our objective, just to push towards and achieve, if not, get very close to our allowed returns in our jurisdictions.
Christopher Turnure: Okay, great. And then just real quick on VISCO, can you give us any updated thoughts. I know the merger has only closed recently, but any reason to think that the Vectren standalone plan has changed?
Scott Prochazka: No. In fact, we believe VISCO is doing well. As we go forward and we begin to talk about the segments starting in Q1, we will begin to provide some more information as to how well that segment's doing. But traditionally, there -- one of the metrics has been backlog, and their backlog is doing very well at the moment.
Operator: Your next question is from the line of Charles Fishman with Morningstar Research.
Charles Fishman: Bill, congratulations on a great career.
William Rogers: Thank you.
Charles Fishman: I only had have one question left. On Slide 9, your investment outlook for electric, is Freeport now in there? I assume it's in there. And have you tied that down, because I think last time, you were talking $500 million to $700 million is in -- in what year is that in if it is included?
Scott Prochazka: Yes. So that project is now fully baked into the plan. We -- as you say, tied down, we don't have it completely tied down. We had an estimate of what it looks like. The actual amount will be the outcome of the proceeding with the commission because it involves -- it will involve decisions around routing and around some of the infrastructure decisions being made. So there is a range that's in there. What we tend to provide and look at when we provide this data will be kind of midpoint of range, and it spans across, primarily, '21 -- '20, '21 and '22, with '21 being obviously the most significant year.
Charles Fishman: And it's still in that $500 million to $700 million range...
Scott Prochazka: Yes, that is correct. Yes, still in that range.
Operator: Your next question is from the line of Har Zhan [ph] with Verizon.
Unidentified Analyst: This is Ashar. They got my name wrong. Can I just ask you, is the merger accretive in '19 and '20, or not based on the new disclosure provided today?
William Rogers: With the exception of a cause to achieve, we're forecasting the merger to be modestly accretive.
Unidentified Analyst: Okay. And secondly, sorry, a lot of things going on this morning. Bill, can you just mention what the average shares outstanding are? I might have missed it, it might be on the slide, in 2019 guidance and 2020.
William Rogers: Yes. We have provided -- I believe we provided that but it's not -- you should consider the average shares outstanding to be 500 million in 2019, and that will be less than the share count of 505 million because we closed the merger on February 1, so we're taking out 1/12 of the new shares. And then moving to 505 million to 506 million into 2020.
Operator: Our last question is from the line of Andrew Levi with ExodusPoint.
Andrew Levi: Congratulations, Bill. You've been a very good friend, and a better CFO.
William Rogers: Thank you.
Andrew Levi: Just a couple of questions. Just back on Enable, so you're assuming flat earnings on Enable as the forecast. Is that correct?
William Rogers: Our forecast, Andy, is in 2019. And we recognize Enable's midpoint taken from what they have disclosed as below their 2018 contribution. Beyond that, we have not disclosed our forecast, but it does include a range of scenarios, and that's why the growth rate of 5% to 7%.
Andrew Levi: Okay. I thought that you were just -- you said you were just taking the '19 number and then just using that going forward, but provided some number in '20 and '21 that may or may not be different than the '19, is that kind of correct? Am I saying that correctly?
Scott Prochazka: Is he saying it correctly? Andy, could you repeat that? I think it faded a little bit -- your voice faded.
Andrew Levi: Sure, sure, sure. I apologize. So in '19, you have your estimate based on what Enable has put out there. And then in '20 and '21, you're not using the '19 estimate. I thought you were just kind of using the same number. But do you have an estimate for '20 and '21, you're just not sharing that with us.
Scott Prochazka: Yes, that is correct. That's right.
Andrew Levi: Got it. Okay. And then on the cost to achieve in '20, how much -- I'm sorry, if I missed that, but how much is that?
Scott Prochazka: We've not specified what that specific amount is. I' commented earlier that, thematically, the majority of it will be system-related, and we're not far enough along with the analysis post-merger to know exactly what that looks like in that year. So we've made some estimates on a range, and we've made that inclusive in our thinking about earnings, but we've not specified what we think that cost to achieve is in that year.
Andrew Levi: Well, I'll ask the question, I don't know if you can answer it. Is it greater or less than $0.05 per share in '20? Okay. That's no answer, I got that. Got a laugh. Thought I'd ask. Okay. And then the last question I have. So you do have these 2 Vectren legacy, the VISCO and VESCO, and again you guys didn't break that out as far as what earnings contribution is for those in '19, did you?
Scott Prochazka: We did not.
Andrew Levi: Okay. At the same time, I'm just kind of thinking longer term, I kind of have in my head what I think the business is worth if you were to sell them, and then what you could either do with the cash, whether it's buy back stock, or whether fund your business to maybe raise CapEx, whatever it may be. But it's a very low PE business relative to your regulated business, and so I don't really see much sense in keeping those businesses. They don't really grow much. I just want to get your thoughts longer-term. I know, obviously, you just bought them, but is it in the realm of possibilities that you would dispose of those assets and reinvest that in a higher PE business?
Scott Prochazka: Again, the way I would answer that is to your point, we just acquired them. They just came in as part of the merger. As we were looking at those businesses coming in, while they're different than the utility business, they have some utility-like characteristics, which we were comfortable with. We do think there is growth opportunity in those businesses, so I would say our strategic direction is to own and operate and grow those businesses, and that's -- I mean, that's where we stand at the moment.
Andrew Levi: How much capital are you putting into VISCO this year?
Scott Prochazka: Go ahead.
William Rogers: Andy, one way to think about that is really the 2017 and '18, and they invested approximately for $50 million in capital in the infrastructure businesses.
Andrew Levi: Okay. But because it is a fairly -- depending on the year, a fairly capital-intensive business because of the equipment needed on the pipeline side, so I don't know. I guess we'll discuss it more in Boston, but obviously, clearly, you know my opinion.
David Mordy: No further questions. I'd like to thank everyone for their interest in CenterPoint Energy. We will now conclude our fourth quarter 2018 earnings call. Have a great day.
Operator: This concludes the CenterPoint Energy's Fourth Quarter and Full Year 2018 Earnings Conference Call. Thank you for your participation. You may now disconnect.